Operator: Good morning, and welcome to Quarterhill's Q4 and Fiscal 2024 Financial Results Conference Call. On this morning's call, we have Chuck Myers, CEO; and Morgan Demkey, Interim Chief Financial Officer. At this time, all participants are in a listen-only mode. Following management's presentation, we will conduct a question-and-answer session, during which analysts are invited to ask questions. [Operator Instructions]. Earlier this morning, Quarterhill issued a news release announcing its financial results for the 3 and 12 months ended December 31, 2024. This news release, along with the Company's MD&A and financial statements are available on Quarterhill's website and on SEDAR+. Certain matters discussed during today's conference call or answers that may be given to questions could constitute forward-looking statements. Actual results could differ materially from those anticipated. Risk factors that could affect results are detailed in the Company's annual information form and other public filings that are available on SEDAR+. During the conference call, Quarterhill will refer to adjusted EBITDA. Adjusted EBITDA does not have any standardized meaning prescribed by IFRS. Please refer to the Company's Q4 and fiscal 2024 MD&A for full cautionary notes regarding the use of forward-looking statements in non-IFRS measures. Finally, please note that all financial information provided are in U.S. dollars unless otherwise specified. I will now turn the call over to Mr. Myers. Please go ahead, sir.
Chuck Myers: Thank you, and good morning, everybody. Thank you for joining us on today's call. In terms of the agenda today, I'll discuss the highlights for the quarter and the year, after which, Morgan will take a look at the key financial results. And following Morgan, we'll open it up for questions. Overall, we are pleased with the 2024 performance, which included significant progress on the turnaround efforts that we began a little over a year ago. For the full year, revenue grew 6.5% and we generated positive adjusted EBITDA of $0.2 million including $1.2 million in Q4. While our adjusted EBITDA margins were impacted in 2024 by primarily three legacy tolling contracts, we made progress resolving these issues. One was resolved in 2024 and we are advanced discussions on the other two. Resolving these issues should have a positive impact on our margins. Another important milestone was achieving $6.5 million of positive cash from operations in Q4. We had also achieved positive cash from operations in Q2, which was the first time in two years we had done so. We're very pleased with the recent progress on cash flow front. While there still will be some fluctuations from quarter to quarter, especially during the seasonal quarters like Q1, we think that our recent progress reflects the early stages of reversing our historical trend of quarterly and annual cash burns. Due in part to improve cash from operations, cash on the balance sheet grew to $31.9 million at the end of the year, up from $23.1 million at the end of Q3. Finally, our contracted revenue backlog stood at $495 million at the year's end. I joined the Company 18 months ago and after a period of time in the chair, it became evident that we are effectively faced a turnaround situation. While we had solid operating assets, personnel, customer relationships, the business required integration, leadership changes, strategic planning, a new technology roadmap and the renegotiation of certain tolling contracts. I'll now spend a few minutes discussing our progress on these initiatives. During the year, we established and executed on a comprehensive three-year strategic with several key focused areas. First, we focus on growing our core tolling and safety and enforcement business units, through improved operational efficiency and enhanced customer relations. By strengthening our project management capabilities and integrating our operations more effectively, we've been able to deliver better results for customers while laying the foundation to improve our financial performance. Second, we took steps to expand in Europe, leveraging our existing footprint and expertise in that region. We participated in the inner traffic show in Amsterdam, which gave us valuable opportunities to advance discussions with potential customers, prospects and partners on entering the European tolling market. Our acquisition of Red Fox has further enhanced our capabilities and potential in this geography. Third, we substantially increased our focus on software development to support our tolling enforcement business and to penetrate into other verticals. This shift from being primarily an integrator to becoming more of a software-focused company is designed to drive higher margins and create more defensible proprietary offerings. We're developing a new architecture that will expand our revenue opportunities from software applications and should significantly improve our ability to maintain software. With AI already a part of our business and we are poised to become a much -- it's poised to become a much greater component moving forward. Fourth, we began our entry into niche markets in the logistics industry, focusing initially on intermodal terminals, ports, borders and asset management. We launched a pilot project in the rail logistics sector, which has provided valuable insights and a foundation for expanding our mandate with that customer. It has also provided a basis for replicating our approach with other businesses in that large market. A significant portion of our effort throughout 2024 was dedicated to integrating and optimizing the business. We launched the unified branding effort that brings together our entire portfolio under the Quarterhill brand and we sold certain non-core assets to focus on our higher growth opportunities. This included selling our position in the China joint venture in the fourth quarter and our Chilean enforcement business, which was sold at the end of 2023. We also substantially enhanced and integrated our tech leadership and development capabilities. Our technological advancements are centered around new architecture design and expanded revenue opportunities from software applications. In recognition of this growing importance, we formed a technical advisory committee with two renowned AI software leaders, Bobby Parikh and Vineet Khosla, who have extensive experience in developing transportation related technologies at companies such as Uber, Google and Apple. This committee is guiding our efforts as we further integrate AI capabilities throughout our offerings and develop next generation solutions. In our tolling business unit, we made significant progress resolving some of the inherited contracts that had challenging implementations and economics. We had positive developments with E-470, CTRMA and ACTC, generating expansion opportunities and/or moving the projects into the operations phase. As I mentioned earlier, while a couple of challenging contracts remain in negotiation, we're still in active discussions to resolve them. On the new business front, we secured a significant win with the ACTC Alameda contract expansion to start this year, which further expands our footprint in California. That contract is valued at $40 million with options to extend it another four years for an additional $15 million. Implementation on that project will begin shortly. The acquisition of Red Fox has further enhanced our value proposition and technical capabilities in the tolling space. Their Quantum software platform offers unique capabilities and vehicle protection and classification and was recognized for excellence with two King's Awards for Enterprise in the UK, one for innovation and another for excellence in international trade. We're actively integrating their Quantum software into our bids and solutions. Our Safety and Enforcement unit had another strong year with steady top-line growth and reliable margins. Throughout 2024, we secured multiple wins in multiple jurisdictions with new contracts in Washington DC, New Jersey, our first in Tennessee, South Dakota, California and several others. We also expanded internationally with new agreements in Thailand and South Korea. A particularly exciting development has been growing adoption of our AI vehicle classification system for traffic monitoring. This system uses AI video automatic traffic recorders to count and classify vehicles, which is essentially -- essential for highway planning, design, maintenance and management. We secured multiple contracts for this technology, including in North Dakota and Minnesota and have now deployed over 50 systems. This success demonstrates our leadership in applying AI to the transportation challenges and creates a foundation for further AI driven innovations across our business units. Our vision is to become the number one or number two player in the segments we operate in. Underpinning this, our goal is to achieve growth while generating reliable cash flows. This will help us build a healthy and sustainable balance sheet capable of supporting both organic and acquisitive growth strategies. We believe our industry is ripe for consolidation, which provides opportunities to accelerate growth through M&A. For 2025, we expect to drive organic growth revenue with adjusted EBITDA margin expansion. Of note, Q1 is traditionally our seasonally slower quarter, which means we expect to see a sequential dip in revenue and adjusted EBITDA and then resume growth during the remainder of the year. Much of that by the way is occurs due to weather issues. Regarding the broader economic environment at this time, we believe our business is not likely to significantly impact by tariffs. We expect the underlying activity in our industry to remain strong. Nonetheless, we are actively monitoring the situation and proactively exploring options to mitigate any potential impacts. Finally, in the past few months, we've added two new board members, Pat Deon, Sr.; and Robin Saunders. Pat and Robin strengthen our leadership capabilities with complementary expertise critical to our growth. Robin brings over three decades of financial innovation, M&A experience and infrastructure investment experience, having led transactions exceeding $30 billion across 15 countries. Pat brings specific industry knowledge from his leadership roles at SEPTA and the Pennsylvania Turnpike Commission along with his multiple entrepreneurial successes. Their combined experience in transportation, infrastructure financing and business development enhances our ability to capitalize on growth opportunities in the IPS industry. In closing, 2024 was a year of continued transformation and progress for Quarterhill. We've established a solid foundation for growth, improved our operational efficiency, enhanced our technological capabilities and strengthened our financial outlook. While we still have work to do in our turnaround, we're confident in our strategy and our ability to execute our growth plans. I want to thank our talented team for their hard work and dedication during this phase. We're excited about the opportunities ahead and remain committed to delivering value to our shareholders, customers and employees. With that, I'll turn it over to Morgan to discuss our financial results in more detail. Morgan?
Morgan Demkey: Thank you, Chuck, and good morning, everyone. Before we get into the financials, please note that discussion pertaining to the 2023 financials reflect only the results of our ITS business. WiLAN's financial results for the 3 and 12 months ended December 31, 2023, are reflected in the discontinued operations line items on our P&L and cash flow statement as that business was sold in June 2023. With that, I'll start with a look at revenue in the quarter. Q4 revenue was $38.9 million and $153.3 million for the year. The increase for the full year revenue was due to growth in both our enforcement and tolling business. The decrease for the quarter was primarily due to the timing of revenue received from certain ongoing projects, which in general leads to some quarterly fluctuation. Of note, the Chilean business was sold at the end of Q4 2023, so there's no revenue from that business in 2024. As Chuck touched on in his section, at the end of the year, we had a significant backlog of $495 million providing good visibility into revenue for 2025 in the next several years. More specifically, we have visibility into approximately 80% of our target 2025 revenue from our backlog. Also of note, a large portion of the backlog is higher margin contracted maintenance revenue versus implementation revenue, which we expect will drive better margins in 2025 and beyond. Gross margin percentage in Q4 was 20% compared to 20% in Q4 last year and 18% for the full year compared to 21% in 2023. The full year decrease was primarily due to the reserves taken for certain tolling projects in Q3 2024, which were partially offset by continued strong margin performance from our enforcement unit. Total operating expenses for Q4 2024 were $11.2 million compared to $15.8 million in Q4 2023. 2024 OpEx was $43.7 million compared to $47.9 million in 2023. The year-over-year decreases were primarily due to lower R&D expenses and other costs. As previously mentioned, SG&A increased in 2024, driven by investments in leadership and resources for our project bid and development teams, which were offset in part by steps we took to further optimize our workforce during the year. Q4 adjusted EBITDA was $1.2 million and for the full year was $0.2 million. This compares to $2.3 million in Q4 last year and $2.9 million for 2023. Adjusted EBITDA for 2024 was impacted by the $4 million due to reserves taken in Q3, which was discussed on our last call. Excluding the impact of those reserves, adjusted EBITDA for 2024 would have increased over 2023. As Chuck mentioned, driven by continued steady results from the enforcement unit and stronger revenue performance from the tolling unit, we expect adjusted EBITDA to grow in 2025. We expect a seasonal impact in Q1, as mentioned earlier and then for margins to be stronger and growing in subsequent quarters. Turning now to the balance sheet. At year end, we had adjusted working capital of $66.2 million compared to $78.9 million at the end of 2023. As stated previously, we use adjusted working capital, a non-IFRS measure to highlight the strong working capital position that we have. Adjusted working capital is defined as working capital adjusted for convertible debentures with a prohibitive liability. We ended the year with cash and cash equivalents of $31.9 million which was a significant increase from $23.1 million at the end of Q3 2024. The $8.8 million increase in cash from Q3 was primarily due to stronger margin and operating performance as well as the collection of proceeds from the sale of our share of our Chinese joint venture. The sale of that non-core asset generated net proceeds of $4.4 million. Improving our cash position remains a top priority. One of our main focuses has been the progress billing and collecting on some of our longer standing unbilled revenue balances, with work still to be done on this front that should help our cash balances in the future periods. In 2025, we expect positive cash from operations for the year. Due to the nature of our business, operating cash flows may vary significantly between periods due to changes in timing and working capital balances, namely with collections and payments. This concludes my review of the financial results. And I'll now turn the call over to the operator for Q&A.
Operator: Thank you, sir. [Operator Instructions] First, we will hear from Gavin Fairweather at Cormark Securities. Please go ahead, Gavin.
Gavin Fairweather: Hey, good morning. Thanks for taking my questions. Maybe just to start out, Chuck on the backlog, it looked like it was up about $20 million sequentially, which implied bookings about $60 million. So, can you just discuss the mix of bookings that you saw in Q4, where these new contracts versus renewals and how does it shake out in tolling versus enforcement?
Chuck Myers: Okay. And then, I'll yes -- I'll split out I'll split out the enforcement because those businesses, run a little bit differently. The tolling contracts are reliant and by the way, good morning, Gavin. Those businesses rely -- the tolling one relies on these big long-term contracts. So that was significantly boosted. The tolling one is primarily by the $40 million base contract of ACTC, which was a negotiated add on to our existing contract. And I'd like to say that recognizes a very good relationship with that customer and a good solid performing system. And that will continue to grow. We continue to see good progress on our other contracts, and we want to -- all of our contracts, we look for those long-term relationships. I mean, these contracts typically don't quote me on this, but I would say the average contract's at least 10 years, and they usually come with significant add-ons. As you know, I had held back the Company -- excuse me, from bidding a lot of contracts last year until we got a better handle on where we were going in the future. But at this point, we're bidding a significant number of contracts, and so, we see a lot of potential going into 2025, and we think we should have a pretty decent year going into this year. I hope that answers the question.
Gavin Fairweather: Yes, that's very helpful and it kind of led into my next question, which is just kind of the level of bidding activity and tolling. And I'm curious if you've seen any kind of positive or negative change from the change in U.S. federal administration. Like I'm curious, if states which are partly reliant on government funding might be more interested in tolling projects as a new revenue source given that some of their funding?
Chuck Myers: Yes. I haven't seen that at all. And I think that there's still a lot of -- I mean, there's still a lot of pent-up dollars from the previous administration to be spent on infrastructure. We don't see this administration taking any different approach on infrastructure. To the contrary, maybe more. So, we don't view that as a significant impact at all and nor have we heard any such from any customer that I've talked to. So, we think that's going to continue to be a big positive, and I don't think it's really had any impact state by state either.
Gavin Fairweather: Okay. That's good to hear. And then just on the existing kind of tolling projects, the couple of the ones that have had some challenges. It sounds like you're still working to get kind of final acceptance and then also working on renegotiating those contracts with the clients. So maybe you can provide, a bit more of a fulsome update on exactly where you are on those two items.
Chuck Myers: Yes. I can say, some of those discussions are confidential, so I have to be careful about them? But it's really all about making sure that we -- a lot of it's, we have to make sure we deliver. And the other one is making sure that the -- a lot of these those contracts or a lot of them really there's two. They were also impacted by the cost-of-living increase, which across the board has been higher than 20%. And so, a lot of those contracts when they were negotiated long before I got here, they didn't have the necessarily escalators and things in those contracts. So, that also significantly impacted those. So, part of the negotiations is renegotiating those, and it just takes time and patience. We're dealing with government contracts that require a lot of approvals. And I know I've been here, I think this is my -- I think my last quarter, I think this is my fourth quarter giving this talk. They just take time, but we feel like we're making progress. And I think we should have more to report next quarter.
Gavin Fairweather: Okay, good to hear. And then maybe shifting gears, I don't think we talked about enforcement enough. I mean, it sounds like they had a steady year in 2024 in terms of solid growth and profitability. Maybe you can just discuss kind of the outlook for that business into 2025 and how you're thinking about how that business will progress over the course of the year?
Chuck Myers: I think that business has progressed nicely. Morgan will be able to correct me on this one, but I think that we actually disposed of about $4 million or $5 million of revenue, once when we disposed of the Chilean contract in that business. So, where we finished the year, we were pretty happy about. And if you'll notice our -- you could determine that the gross margins increased quite nicely in that business. As people may or may not know, Morgan was, who's now acting as our interim CFO, is running that business as well and has done quite a nice job. It's an interesting business that approximately 50% of it at the beginning of the year is essentially reoccurring business. And so, as we go through the year, we're able -- and we have a pretty good handle going forward and have over the years and Morgan's done a good job the last couple of years on that of understanding where we are in the market. So, we continue to see steady growth in it and we hope to see continued gross margins. I mean, Morgan, do you want to make a quick comment on where we are in gross margins on that business, but they're getting quite nice.
Morgan Demkey: Yes, Chuck, and thank you. Your comments on Chile are accurate. It was approximately $3.5 million to $4.5 million depending on the year with Chilean operations per revenue. And part of our success has been we've been out in the field more, Gavin, as far as business development during COVID. It was a little bit harder for everyone to travel, but part of our growth in the last couple of years has been being back in front of the customer. And we have seen great margin improvements over the past couple of years as well just from managing efficiencies in the business as best as we can. And we continue to see a pathway forward for those to continue.
Gavin Fairweather: Great. And maybe I'll sneak in one more, maybe also for Morgan. Just on the working capital, nice to see the inflow this quarter. It looks like that mostly came out of accounts receivable, still sitting with kind of $36 million of unbilled revenue. How do you think about maybe the surplus working capital in the business in terms of the levels which are above normal? And how do you think about that flowing in over the course?
Morgan Demkey: As far as, I think we -- Gavin, we see some seasonality happening in Q1 as far as cash improves. But as we look to the rest of the year as far as cash improvements and working capital improvements. As we -- as Chuck mentioned, the two contracts we're renegotiating will drive a lot of progress as far as improvements to working capital through the balance of the year as those contracts are renegotiated. Chuck, is there anything else you want to add to working capital or does that summarize most of it?
Chuck Myers: No, I think that.
Morgan Demkey: As we get through.
Chuck Myers: Yes. I think that that affects the unbilled AR quite a bit, when those contracts get the situation, they are. I would like to say the other thing. Before I got here, these contracts were almost all of the tolling contracts anyway were bid with negative cash flow with big implementation. One of the things I implemented right here is -- we are only bidding contracts with positive cash flow. And that was not the habit of the Company in the last few years. So, when we bid them, we're very focused on making sure we don't get in a situation again where we get upside down on these contracts. And so, you do not only do you see a reduction in unbilled ARs, these things recover, you should see a positive impact on EBITDA as well.
Gavin Fairweather: Great. I'll pass the line. Thank you.
Chuck Myers: Thanks, Gavin.
Operator: Thank you. [Operator Instructions] Next, we will hear from Steven Li at Raymond James. Please go ahead, Steven.
Steven Li: Hey Chuck, the couple of challenging contracts projects that you're currently working to resolve, would you expect you'll need to take some reserves on those?
Chuck Myers: It's a good question. I sure as heck hope not. I said we'll -- I think we'll have a very good indication early in the quarter. But I would -- I think whether we message that or not, but I think we as you know, we took reserves in the third quarter based on where we were. So, provided that things go as we see, I don't want to over speculate, but maybe Morgan will have a have a thought on that. But I'd say right now we're looking at getting these things settled down. So, that's my plan and that's the strategy. Morgan, do you want to get chime in?
Morgan Demkey: No, I think Chuck, you nailed it. We're digging in deep into the contracts and working through them day by day to make sure that we don't have any further impact. So, I think you've summed it up.
Steven Li: And maybe I can ask, Morgan, when you look at the backlog, when you think maintenance versus implementation, is it split 50-50 when you look at that backlog?
Morgan Demkey: No, I think it's more 80% maintenance or maybe that might be a little high, but it is more predominantly maintenance as they are long term contracts in the backlog.
Steven Li: Got it. That's great. And Chuck, maybe back to you, you touched on Europe a little bit. Any color on how the European pipeline is building? Can we expect to see some conversion this year? Thanks.
Chuck Myers: I would say, yes, we are actively pursuing a couple of bids right now. They're still in the early stages. We've done some pre-work and some pre-bid work for qualifications and things on bids, but we expect to see those RFPs being issued and awarded before the end of the year. I think one of the other things that both Morgan and I have worked on, the Company owned three or four small businesses in Europe, and we worked very hard through 2024 to get those -- they were negative and we worked hard to get those companies profitable and cash flow positive. So, we've seen some better impact there and we're really using that as a baseline to give us a beachhead to gain the credibility with the European customers. So, we are able to present ourselves with a pretty strong European presence even those are small businesses, I think between the businesses that we own over there. The customers are they like the fact that we come across as a European company when we're over there.
Operator: Next question will be from Valery Heckel at CIBC World Markets. Please go ahead, Valery.
Valery Heckel: Hi, good morning. This is Valery on for Todd Copeland. Thank you for taking my question. Chuck, in your prepared remarks, you discussed the potential of inorganic growth. And I'm wondering if you can elaborate on that strategy a little bit more, particularly as your cash position improved markedly over the last year. Are there any technologies or geographies you're eyeing? And is M&A something you expect to pursue in the near term or is it more of a longer-term opportunity?
Chuck Myers: Yes. Hey. Thanks, Valery. Sorry, Todd couldn't make it. I think that we're really -- we're actively looking at deals right now. We've said it's part of our strategy. We feel like we're getting the business settled down. Obviously, we still got a couple of these things working out there. But the reality is if you set aside, really those two contracts, the strength in the business looks pretty good right now. So, we think that timing just because of the length of time it takes for acquisitions and inorganic activity whatever it maybe it's important to start pursuing that. We have a very active pipeline in potential targets, and we actively talk to companies all the time, without getting too much into it, but it is it is definitely on the radar screen.
Valery Heckel: Okay. That's very helpful. Thanks very much. And I'll pass the line.
Chuck Myers: Thank you, Valery.
Operator: As we have no further questions at this time, I will turn the call over to Mr. Myers for closing comments.
Chuck Myers: Thank you, operator. With that, I always like to close our quarterly call. I want to give particular thanks out to Morgan who stepped in when Kyle stepped down to go to another opportunity. And I want to thank Kyle, by the way. Kyle stayed and helped us finish out the year end, and that was much appreciated. Morgan's done a great job. He's wearing two hats at the time. We're actively interviewing for CFO candidates now. And I want to thank all of the hard work that's been put in by our management and our employees and our Board. And I'm thrilled that we have two new Board members and hopefully we'll be building out the board as we go into the year. So -- and as always, I like to thank our investors. You guys have been great. You always have good advice. And so, look forward to working with you in the New Year and look forward to a strong 2025.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.